Operator: Greetings. And welcome to the Golden Leaf Holdings 2020 Second Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions]  As a reminder, this conference is being recorded. I would now like to turn the conference over to Mr. John Varghese, Executive Chairman. Thank you. You may begin.
John Varghese: Thanks, Laura, and thank all for joining us today to review Golden Leaf Holdings performance of the second quarter of fiscal 2020. With me on the call today is our CEO, Jeff Yapp. I would like to remind everyone that except for historical information, our discussion today will include forward-looking statements that are based on assumptions, which are subject to risks and uncertainties that could cause actual results to differ materially from those in the forward-looking statements. Management can give no assurance that any forward-looking statements will prove to be correct. Forward-looking statements discussed on this call are relevant as of the date of this call, and we undertake no obligation to update or revise any of these statements, except as required by applicable law. Management refers you to the cautionary statement and risk factors included in the company's MD&A, by which any forward-looking statements made during this call are qualified in their entirety. Please note that all financial information is provided in U.S. dollars, unless otherwise specified. Jeff and I have prepared a few remarks, followed by a review of the financial results for the second quarter and as we started last quarter to frequently ask questions. We have been hard at work as we continue executing our 2020 business plan amidst a variety of challenges these past months. The second quarter of 2020 was a story of continued execution in Oregon, despite challenges that arose outside of the state due to COVID-19 related staffing and supply chain disruptions. We have enough funds to cover our short-term obligations and are pursuing appropriately priced capital opportunities to help accelerate our growth. In early July, the company also negotiated with our debenture holders to pay all of the future interest in shares for serving our cash position in order to continue to support this turnaround effort led by Jeff. Our leadership team is still working at significantly reduced salaries to preserve cash for growth, demonstrating their commitment to Golden Leaf's future. Management continues to execute our plan. We have produced a record quarter and a record first six months, yet GLH remains undervalued compared to its peers. I now turn the call over to Jeff for a few remarks.
Jeff Yapp: Thanks, John. Coming off a strong first quarter, the management team moved quickly in the second quarter and achieved our strongest performance to date by focusing our efforts where it was the highest opportunity for growth in Oregon. This was a deliberate decision to offset the nearly complete shutdown in Nevada and a variety of challenges in Washington, California related to supply constraints and COVID-19. We believe GLH is substantially undervalued when compared to its peers. We have generated record year-to-date revenues in retail stores, and our wholesale business in Oregon are delivering our strongest performance and significantly reduced cash utilization. We have demonstrated the ability to achieve significant growth despite COVID's impact on the market, as well as its impact on our partners in each jurisdiction. The company is driving top line growth out of Oregon with growth of 36% year-over-year, while gaining momentum in California and Washington. Discipline, rationalizing headcount, optimizing inventory utilization and scrutinizing payables turnover will continue to fuel our growth. The team's strategic approach to the company's frontlines have helped us drive innovation and maximize our results and further distinguish us from competition. John Ford continues to transform our store operations with growth in retail curbside and in-store pickup options, complemented by our online experience, that's second to none. The continuous focus on customer experience on our retail stores combined with our commitment to training and culture is setting us up as a leader in retail. This is evidenced by both an increase in our transactions of 15%, as well as our size of tickets when compared to Q2 of 2019. In our Oregon wholesale business, we've improved supply chain forecasting and stabilized inventory levels, which has resulted in 39 new accounts being added. This totals to over 238 active accounts, an increase of 7% from Q1 2020 and 18% from Q2 2019. Wholesale revenues have increased 96% over the second quarter of 2019, driven both by comp penetration and our average order size and frequency.  We are encouraged by our momentum in California during the second quarter, and the growth is quickly accelerating the first half of Q3. We anticipate reporting meaningful results in this market to investors for the third quarter. In Washington, our manufacturer partner has gained traction in July after experiencing a variety of COVID-19 related challenges. This partnership is exciting as the market -- as the market demand for our products remain strong. We continue to rapidly launch new products lines in flavors. As of June 30, 2020, the company offers directly or through its partners over 145 SKUs across 23 product lines in four jurisdictions, Oregon, California, Nevada, and Washington, all under the Chalice Farms. Our commitment to crawl, walk run strategy has resulted in momentum needed for a great Q1 and Q2, delivering online ordering and exceptional customer experiences led to solid growth in retail. We are super serving our customers new products, education, and humanity. Our teams are showing up for our customers and continue to perform above expectations. We are turning the corner and can comfortably put past the steps behind us. GLH remains laser focused on operational excellence. These record results were achieved while dramatically improving our focus on working capital and expense management. At this time, I will turn the call again over to our Executive Chairman, John Varghese, who will review our financial results.
John Varghese: Thanks, Jeff. I will start out by highlighting that our cash used in operations for the second quarter was $137,000, which is by far the best in GLH's history and shows how much progress this company has made toward the goal of becoming cash flow positive. Jeff and his team require a great pat on the back for this effort. For the three months ended June 30, 2020, the company reported record revenues of $5.5 million, growing 40% year-over-year and 16% sequentially from the first quarter of 2020. This increase was principally due to the retail and wholesale sales growth in Oregon. As we know other markets like Nevada have been virtually shutdown. Gross profits, excluding fair value items, was $1.5 million for the quarter ended June 30, 2020, representing a gross margin before fair value items of roughly 27%. Extraordinary losses experienced in Nevada due to facility abandonment and COVID-19 related shutdowns, as well as the expensing of startup inventory costs related to the manufacturing partnerships in California led to a 10% decline in gross margin from the second quarter 2019. Gross profit margin, excluding fair value items of $200,000, adjusted for extraordinary circumstances in Nevada of another $200,000 and the write-off of inventory deposits in California of $100,000 was $1.8 million on a non-IFR basis equal to a gross margin rate after these adjustments of 33%, which is favorable versus average gross profit margin rate during fiscal 2019 and only slightly off in the first quarter 2020, due to the shortfall of third-party revenues as mentioned previously. Operating expenses were $3.1 million for the three months ended June 30, 2020 compared to $3.7 million of operating expenses in the same period last year, an improvement of 18%. This continues to demonstrate management's efforts to reduce costs wherever and whenever possible. These reductions result primarily from rationalized corporate headcount resulting in decreased salaries and share-based compensation. Adjusted EBITDA loss for the quarter was $700,000 compared with a loss of $600,000 in the first quarter, a decline of 16% primarily due to a shortfall. Adjusted EBITDA is defined by the company as earnings before taxes, depreciation and amortization and excluding certain non-cash equity compensation expenses, including impairments, one-time transaction fees, startup cost, losses due to extraordinary events and all other non-cash items. The company considers adjusted EBITDA an important measure that is intended to reflect the true day-to-day operational performance of the business. For the six months ended June 30, 2020, the company recorded record revenues of $10.2 million, growing 40% year-over-year and 16% sequentially from the first quarter of 2020. This increase was principally due to retail sales growth plus the addition of $500,000 incremental third-party processing revenues through Tozmoz. To help preserve cash, as mentioned earlier, the Board and the Senior Leadership team demonstrated their ongoing commitment to the company by taking voluntary reductions in compensation during the second quarter. We continue to be focused on driving continued momentum in our business and with a goal of becoming EBITDA positive during fiscal 2020. As part of the release today, you'll see that we've disclosed preliminary July financial results. Record revenues continued into July of 2020. The company produced preliminary unaudited estimated revenues of $2 million at an estimated gross margin of 33%, led by Chalice Farms retail revenues of $1.4 million and Oregon wholesale revenues of $500,000. As Jeff said, the company's crawl, walk strategy helped us build momentum needed for a great Q1 and Q2, delivering the online ordering and driving innovation customer services really led to solid growth in retail. I want to thank everyone who joined our call today and we look forward to continued conversations in the upcoming quarters. We will end our call today with commonly asked questions from investors.
A - Jeff Yapp: First question is what is GLH's social media strategy across Twitter, LinkedIn and Instagram? Do you want me to take this one?
John Varghese: Yeah, go ahead.
Jeff Yapp: Yeah. As part of the Golden 2.0, our goal is to increase our outreach and provide more transparency and meaningful content to our stakeholders. In the upcoming months, we reeducate the community in GLH. We have been active for quite some time in social media. The company has changed dramatically to offer a clearer picture, provide updates on our execution. To further this goal, John and I will be hosting a webinar tomorrow at 5:00 PM Eastern Time. Please see our press release for details. Second question for you, John. When was GLH employ an IRPR firm to help with the share price?
John Varghese: We believe that delivering consistent operational execution that drives us to positive EBITDA and positive cash flow will drive share price appreciation. We're not interested in outright stock promotion. Preserving our cash has been a key goal, and we do not believe spending money on the IRPR would have been a prudent use of cash over the past year for many industry related reasons, as well as COVID-19. For now, our team is properly equipped for lean but effective approach toward communication with investors that fits within our current budgetary constraints. At the right time, we review this position. Jeff, there is a lot of negative chatter on the online forum. What does the company planning to do about it? 
Jeff Yapp: Historically, the chatter tends to come from the same individuals who represent small, lots of outstanding shares and who may be more concerned about promoting their own agendas instead of focus on the fundamentals of the business and the positive steps undertaken by the company. As we stated before investors are unhappy with itself. We will continue to be laser focused on our operations and will not wait and see unproductive conversations. Okay. John, this last one, no we have a couple more. John, please provide an update on Tozmoz. 
John Varghese: The Tozmoz acquisition is awaiting county occupancy approval as a contingency to the final OLCC approval. However, the timing unclosing is currently unknown. We remind investors that in the interim, the company realizes largely all of the benefits of the operational results with Tozmoz through our consulting agreement with Tozmoz. Acquisitions in Oregon have historically proven to be protracted due to the regulatory challenges, which are often the result of bureaucratic latency. We've executed on a structure to mitigate this risk in the short term. Jeff, what are your California plans now and into the future?
Jeff Yapp: Over the last six weeks, we have seen a rapid acceleration demand for our chews and extracts products in California. Our production relationships to date require minimal capital outlays allow us to focus account cash expenses on cash generating core Oregon business. We believe the correctly sized vertically oriented operation will be valuable in California and while shopping for the right retail partners in California and we are shoving for the right retail partner in California while our manufacturing partnerships continue to mature. John, please explain why the lead director, Mr. Miller has sold shares in 2020.
John Varghese: This is not a true statement, Jeff. However, there was an error made in the company's reporting. The company has received questions regarding the differences between the amounts reported in the Information Circulars for 2018 and 2019 versus the amounts reported on SEDI with respect to share sell by Mr. Miller. The Circulars filed in 2018 and 2019 incorrectly stated that Mr. Miller owned 7,445,028 shares and 7,838,968 shares respectfully. However, when Mr. Miller was originally on the company’s Board from 2015 to 2016, he owned shares, but subsequently sold his entire position when he was not an insider. He rejoined the Board on April 9, 2018. at that time he did not own any shares as is correctly reported on SEDI. However, in the Circulars his position shown in 2018 and 2019 were wrong. He has since acquired shares as shown in the 2020 circular via the payment of interest in kind on the company’s convertible debentures. Mr. Miller, like all company directors, is highly committed to the company.  As mentioned earlier, the independent directors demonstrate this commitment as they are working at less than standard board compensation rates and all have options that are priced materially above current market prices. So, I repeat on behalf of all of the directors, there was no selling by insiders that are occurring, management and board's commitment remain strong to GLH.
John Varghese: With that operator, Jeff and I would like to wrap up the call for today.
Operator: Thank you for joining us today. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation. Have a great day.
Jeff Yapp: Thank you.